Operator: Good day. And welcome to the Q2 2017 Euronav Earnings Call. All participants will be in listen-only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Paddy Rodgers, CEO of Euronav. Please go ahead.
Paddy Rodgers: Thank you. Good morning and afternoon to everyone and thanks for joining Euronav’s Q2 2017 earnings call. Before I start, I would like to say a few words. The information discussed on this call is based on information as of today, Thursday, August 10, 2017, and may contain forward-looking statements that involve risks and uncertainties. Forward-looking statements reflect current views with respect to future events and financial performance, and may include statements concerning plans, objectives, goals, strategies, future events, performance, underlying assumptions and other statements, which are not statements of historical fact. All forward-looking statements attributable to the Company or to persons acting on its behalf, are expressly qualified in their entirety by reference to the risks, uncertainties and other factors discussed in the Company’s filings with the SEC, which are available free of charge on the SEC’s Web site at www.sec.gov and on our own Company’s Web site at www.euronav.com. You should not place undue reliance on forward-looking statements. These forward-looking statements speak only as of the date of the particular statement, and the Company undertakes no obligation to publicly update or revise any forward-looking statements. Actual results may differ materially from these forward-looking statements. Please take a moment to read our Safe Harbor statement on page two of the slide presentation. I will now pass over to Euronav’s CFO, Hugo De Stoop, to run through the first part of the presentation.
Hugo De Stoop: Thank you, Paddy. And good morning, afternoon where you are, and thanks for joining our second quarter 2017 earnings call. Turning to the agenda slide, I would like to take you through the highlights of our first quarter, followed by a full review of our key financial figures before handing over to Paddy to take you through the latest market themes as we see they materialize. We will then turn over to the operator for Q&A session. Moving on to slide four, we would like to underline the following highlights. Q2 was a very challenging quarter with two key headwinds for tanker operators to content with; Firstly, cargo volumes have decreased in line with seasonal pattern, but are nevertheless higher when compared to last year; secondly, there has been a sustained delivery of newbuildings, newbuilding vessels at both VLCCs and Suezmax during the second quarter. These two factors have combined to drive consistent downward pressure on freight rates. That said, our VLCC rate performance was, we believe, very visible above our P&L breakeven despite a challenging market structure. The Suezmax’s outperformance was far more challenging. Away from the spot market during the second quarter, we significantly bolstered our fixed income profile with the extension of our FSO contract for five years, and two additional seven years time charter to Valero two exited two agreed to last year. [VSPs] or fixed income has allowed us to update and we believe upgrade our distribution policy to shareholders today. Something Paddy will speak in more detail later on in this presentation. So far in the third quarter, difficult environment has continued with 61% of our VLCC book covered at around $20,000 a day and 60% of our Suezmax fleet covered around $14,700 per today. I would now like to move onto the income statement on slide five. This slide shows the income statement for the second quarter with two key points to focus on. First, the second quarter result was affected by capital loss that Company took for the disposal of the TI Topaz, a 15 year old VLCC about to go into its third special survey in dry-dock. Euronav continues to believe the useful life of a large tanker is 20 years. Hence, we depreciate on straight line basis our 20 years to zero as we strongly believe this is the correct and most accurate depreciation policy applicable. In such capital intensive and volatile industry, as tankers, the capital within the business should be protected, as much as possible. Hence, for the calculation of any dividend, we include capital losses and we exclude capital gains. This remains part of the return to shareholders’ policy at Euronav. Talking about dividends. The interim dividend and their previous payout policy would most likely have been close to zero against the new fixed minimum of $0.06 per share that we have announced today. As can be seen from slide five, net income was $0.06 per share for the six months to end June 2017. As a reminder and in order to assess the value of the new dividend policy, last year at the interim stage, the Board decided to payout 60% of the net income as part of the Company policy to payout 80% of full year net income. The reason for 60% at that time for the interim dividend was a concern over freight rates in the second half, and the potential for part of the second half to be loss making in 2016. This year, the outlook for the second half 2017 is even more challenging in the view of management and the Board. Therefore, it was probable that no dividend or very small dividend would have been paid out of net income for interim dividend as the previous policy been applied. Indeed, current consensus for Euronav on Bloomberg is for a loss for the full year implying indeed a zero dividend have the previous policy been implied in full. Otherwise, the second quarter was a fairly regular quarter with all metrics in line with previous guidance. Turning now to the balance sheet on slide six. The key highlights during second quarter was the successful issuance of $150 million of unsecured bonds in May. This is an important development for Euronav, as it's seen with as [ASV] achieves a number of key objectives. Firstly, it bolsters our already strong balance sheet with further $150 million of liquidity. Secondly, it diversifies our funding into a new capital source. Indeed, we believe strongly the commercial and regulatory pressures particularly coming from the application of Basel 4 will continue to reduce bank lending to all shipping companies, regardless of past relationships and Company structure. Having access to as many source of funding is therefore critical in our view for success. Thirdly, a coupon of 7.5% compares very favorably with the cost of attracting $150 million of capital from other sources. We also signed a 12-year $110 million ECA financing with commercial banks and Ksure of Korea for financing of two VLCC newbuildings, the Aquitaine and the Ardeche, we took delivery of in January. After the balance sheet close on 30th June, the FSO joint ventures also fully repaid all the outstanding debt related to them in an amount of $60 million or $30 million for each partner. Finally, the Company started, in June, a treasury note program, also called Commercial Paper and placed approximately €50 million in the market for various short term maturities at a pricing of 60 basis points over Euribor. This is not additional debt, but rather, an opportunity to decrease the cost of borrowing by systematically using the proceeds to repay part of the Company’s revolving loan facilities. Our mark-to-market leverage at the end of the second quarter was 44%, and we had $211 million of outstanding CapEx for the four newbuilding Suezmax that we order, and that are currently under construction. We expect to be able to finance those vessels with bank debt up to $173 million. The available liquidity at the quarter end was almost $800 million. I will now hand over to our CEO, Paddy Rodgers, to give you an update on current tanker market themes and the outlook. Paddy, over to you.
Paddy Rodgers: Thank you, Hugo. Let’s turn to dividends. We will pay an annual minimum fixed cash dividend of $0.12 per share, payable $0.06 per share in each half, no matter what the conditions in the freight market. We believe this is a more accurate reflection of Euronav’s business now but we have secured longer term feasible income from; A, our FSO contract extension; B, four seven-year Suezmax contracts with the Blue Chip U.S. refiner; and C, our sustained track record in maintaining a visible income stream from our other time charter relationships, particularly our French flag business. In addition to building a solid fixed income platform, we have also constructed a very strong balance sheet over the past 18 months with which to navigate the current tanker cycle and indeed to take opportunities to fleet renewal or addition if accretive to do so. In addition to the minimum fixed cash dividend, Euronav will look to distribute or utilize excess cash with either; A, additional cash dividends, depending on our earnings and outlook on the cycle; and/or B, in buying back our own stock, should there be a material disconnect between the share price and our estimate of the intrinsic value of our shares. This is something we believe is in Euronav’s DNA, both at the Board and the management level, where we take our responsibility of good stewards of capital seriously. The chart on slide on seven is instructive on this. Firstly, it shows how central dividends have been within the investment case at Euronav since our listing on Euronext in 2004. Investors have benefited from nearly $1 billion returns in cash dividends over that period. Secondly, this is being done in a prudent and responsible manner as the chart illustrates; dividends were not paid when freight rates endure the sustained blow period between 2010 and 2014. During this downturn, Euronav did not default on any debt or credit lines nor compromise creditors and continued to expand its fleet. Thirdly, since freight rates return to higher levels in 2015, Euronav has returned nearly $400 million in excess cash to shareholders, largely in the form of dividends. I will now move onto an important feature of our Q2 results, the confirmation of our FSO contract extension on slide eight. During May, we announced with our JV partner, International Seaways, the confirmed signing of a five year extension to our current FSO contract to 2022. This was an important milestone to Euronav, and it provides us with a quality recurring income stream for the next five years, whilst we retain 50% ownership of the world class asset with an operational life through to 2032. Our FSO capability may not be fully understood or fully appreciated. The two vessels, the FSO Africa and the FSO Asia, are not basic tankers serving as floating offshore units, but very sophisticated highly engineered operational units, which process all oil produced from the Al-Shaheen field, eliminating the water content within it to create a high quality export grade crude oil. This value added procedure is highlighted in a simple format on slide eight, and we look forward to bringing it to the market’s attention as time goes by in the future. The decision by the IMO to defer the implementation of ballast water treatment directive, from September of this year to 2019, was regarded by some as a negative development for the market as it remove the potential catalyst for accelerated scraping. Euronav did not subscribe for the view that there would be an immediate uptick in scrapping as a result of this directive coming into force. The current age of the global VLCC and Suezmax fleets are both around 9.5 years, which is relatively young compared to the other shipping segments. But the large tanker fleets, however, is entering normal scrapping range for the older part of the world fleet, which will add to the pressure to scrap as we highlight in slide nine. This analysis focuses on vessels over 20 years of age only, and those due to go through that fifth or sixth survey dry-dockings between now and the end of 2020. With further regulation, in addition to ballast water treatment due to come into force on sulfur content in fuel in 2020, we would expect to see the vessels highlighted on slide 10 to come on to both regulatory and commercial pressure scrap between now and the end of 2020, representing around 6% of both the VLCC and Suezmax global fleet. Some scrapping activity has returned with six Suezmax’s and four VLCC removed from the world fleet so far in 2017 according to recent data from [Pareto] operator. Further momentum in this will bring a positive driver for tanker operators. Now, moving into the summary slide. Our traffic lights continue to look reasonably positive, but the key metric of vessel supply remains amber. Demand has continued to improve. The IEA has upgraded demand for both 2017 and 2018. OPEC production cuts have been offset by the return of Nigerian and Libyan barrels with U.S. shale continuing to grow. According to Petrofin Research for the 40 billion bank-lending less to shipping sector in 2016, so financing continues to be restricted. And finally ton miles remain changeable, but positive, as crude exports continue to be a dynamic area. However, these positives are overshadowed by the order book in two ways; firstly, the nature of its concentrated delivery schedule for both VLCCs and Suezmax sectors over the next 12 to 18 months; means the new VLCC and Suezmax is entering the global fleet nearly every week until the end of 2018; secondly, shipyards have, by aggressively discounting newbuilding prices, enable to attract new orders, which was the majority have come from existing rational industrial owners has nevertheless meant the balance between supply and demand remains in favor of the charterers. So to conclude, if the illness is low freight rates then the cure appears to be sustained low freight rates as this should drive scrapping activity, so bringing the market back into balance. Until this inflection point is reached, Euronav retains substantial balance sheet capacity and fixed income visibility to navigate through such a period of lower freight rates and/or take advantage of any expansion opportunities. This concludes the formal part of the presentation. Thank you for listening. I will pass you back to the operator.
Operator: We will now begin the question-and-answer session [Operator Instructions]. The first question comes from Noah Parquette with J. P. Morgan. Please go ahead.
Noah Parquette: Paddy, I just wanted to get your thoughts. I know in the past you’ve talked about the new orders in the VLCCs a function of heavy discounting by the shipyards for good customers. We’ve seen a bit of a slowdown in that. How do you assess that risk in terms of future orders now?
Paddy Rodgers: Well, I think first of all, it was interesting to see how it was done. I think there is limited capacity within the ship building industry, both in terms of the tolerance of their own banking systems that continue to support them, at the same time, is recognizing that they’re actually pricing at a cash loss. So I think that what was -- the most telling sign about this was that they had limited gunpowder this year, and they were very targeted at the people that they approached. So there wasn’t a wholesale marketing of trying to sell as much volume as possible and anybody was welcome, but we were very, very owner specific and you saw that in the people have actually ordered. But I can assure in the ones who didn’t, it was of course people like us, but on a limited basis. So I think that’s telling and I think that is encouraging, and we’re beginning to see a little bit of return in some other sectors ordering.
Operator: The next question comes from Gregory Lewis with Credit Suisse. Please go ahead.
Gregory Lewis: Paddy, I’d be curious on your thoughts. It sounds like in some of your prepared remarks you talked about the increase in U.S. oil production providing ton miles into the market. And at the same time, really just trying to understand the balance between what’s going on in terms of ton miles as was seen U.S. volumes come on stream, but at the same time, OPEC volumes being held back. And just trying to, as we think about OPEC coming online over the next, let's say, 12 months to 24 months from now coming back online. How should we think about that impacting the market?
Paddy Rodgers: Well, I think the timing of it is critical. And there is no question, Greg. There is a lot of uncertainty in the marketplace. Because whilst we think this is relevant to ton miles in broader industry, clearly, it is the big elephant as far as the pricing of oil is concerned. The more the Saudis cut, the more that they can bring up the prompt price but ultimately, the more they depress the forward price, because everybody says that oil has got to come to market to market at some time. So it’s a very, I mean, it's a very cat and mouse situation. I think as far as we’re concerned, let’s be clear, the U.S. has exported oil for some considerable time, that ban was on the export of crude oil. And I think at the peak of being discounting of shale into the refinery system when oil was $100 a barrel, we were seeing 3 million barrels a day of product export from the U.S. into Europe. Now, since crude oil was committed to be exported as of January, we’ve seen it from a standing start to zero barrels being exported, we’ve gone to 750,000 a day, about half of which, we think, is going to China with some great ton mile impact. The IEA's outlook for demand growth for crude is adding about 1.3 million to 1.4 million barrels per day per year, which means that if that Saudi volume comes back on in two years time, you’ll be able to have your cake and eat it. Essentially, you’ll be able to have the additional Saudi volumes, and you’ll still keep the American oil in place.
Operator: The next question comes from Jon Chappell with Evercore. Please go ahead. 
Jon Chappell: Paddy, you’ve accomplished a lot in the last couple of quarters, whether it’d be disposing of some of the older ships, sale and leasebacks, buying some new ships with long-term contracts, the FSOs, change in the dividend policy; and now, amidst this maybe more cautious outlook over the next 12 months or so. How do you foresee yourself proceeding, both with the fleet operationally and whether that -- and what I’m getting at is be offensive with buying ships here, or you’ll be more defensive with just status quos, selling down the older ships. But also the capital structure, Hugo has also accomplished a lot during that time period. What are the next steps for Euronav in the next 12 months?
Paddy Rodgers: Well, I think the approach that we’ve taken was to put money in our purse. We can see that environment was changing, that there was going to be a lot of opportunity. At the same time -- so our concentration really was making sure that we’re in a position for ones. But when things become disrupted or little bit shaky or volatile, so that’s an opportunity when Euronav would have a lot of choices. And I think that really it’s been our ambition to make sure, of course, you saw our quality the last few years making absolutely certain, and I’d say our last few years, but also for the last decade, as our slideshow demonstrated, shareholders need to be rewarded to supporting by buying new share, but the Company has to have a long-term vision and the Company has to be ready to act counter cyclically. So I think that really we just being trying to make sure all the way along what we can achieve all of those goals. And for the sake of clarification, I think that we’ve been waiting for the FSO contracts to conclusion to be able to use of highlighting the value of fixed income into the Company. To demonstrate that Euronav is not a derivative on the tanker market but also is an organization, which provides a huge range of services from high quality people embedded in the organization; clearly, I’m not talking about management. And being able to get a fixed income from that and being able to serve the shareholders by allowing them to have access to some of that through our fixed dividend policy.
Operator: The next question comes from Amit Mehrotra with Deutsche Bank. Please go ahead.
Amit Mehrotra: Just one on the change in the dividend policy, it seems to make a lot of sense to me. But I just wanted to get a sense, Paddy, on what you’re looking for in terms of deciding what to do with the surplus earnings; because whenever that does occur, I guess, hopefully next year. But it seems like you guys have given yourself a little bit of room there to have some discretion, which make sense. But if you can just give us a sense of what financial objectives you are looking for on prospective acquisitions, so we can get a sense of the parameters around how those decisions we made. Thank you.
Paddy Rodgers: I think that the critical thing for all of us, because we understand the business very well, and I know that all of you as analyst understand the business very well, is that we see many times the people get a bit offset with size in terms of just glooming businesses together in the hope of somehow it will stick to the work. And that certainly never been our approach. Our view is that when there is the right timing and the timing means that we can say whatever the shareholders own through Euronav today can be enhanced by additional, not just may a bigger part but actually enhance for those existing shareholders, then we’re ready to act and act with certain amount of decisiveness. I think it’s always difficult to keep reading the ruins to try and make sure you’ve got the right moment and the right timing. But I think you can rest assured that we do that and do it continually. In the meantime, we want to make sure that people could recognize the full value of the breadth of skills in Euronav that it is not a proxy to the market it is a real company with many different business units. So that can be recognized and really that determination to put in a minimum fixed dividend is to underline that point. But of course, in the event that we start to see either we get suddenly surprised by the market taking off. If it’s taking off and assets become more expensive then they won’t be quite the right metrics for us to do an acquisition, cash will get return to shareholders. If we suddenly see that there’re some great opportunities, I’m sure that shareholders will be only people and we’ll be able to demonstrate to them, that it was the right opportunity to be using either our stock or cash as currency for accretion and growth.
Operator: The next question comes from Ben Nolan with Stifel. Please go ahead.
Ben Nolan: So Paddy, obviously, the market and rates have weakened a bit. I’m curious if you might be able to frame in how you think of how long it takes for a market to be weak like this before. You really start to see some weaker hands being shaken out in terms of fore sellers or the really, really attractive value opportunities that sometimes materialize in a weaker market. How far out would you say that would need to be if the market were to remain weak?
Paddy Rodgers: Well, I think that some -- it’s complicated, isn’t it, because there are a lot of different aspects to it. I think one of the things -- I might had a view on that 10 years ago, but I think the advent of chapter 11 is do shipping has meant but it's often quite difficult to access massively discounted opportunities through somebody else’s crisis. I think that a plenty of people will be going significantly cash flow negative. If some of the reported numbers -- and you’ve seen that our numbers were pretty solid as a result of our strategy, and I think that certainly the numbers that we’ve got in Q2 are quite praiseworthy and I am certainly doing that for the commercial team that have worked here. Q3 is obviously significantly weaker. But we understand that there are others in the marketplace yet weaker than that. And if the index is being reported by the ship owners -- by the ship brokers or anything like rights and that some people are enduring numbers below $10,000 a day, people are going significantly cash flow negative. So that has two impacts, some people will of course be close to saying actually I can’t carry the burden, the fleets for sale it’s the only way to stop the loss. Other people would have noted that our older ships, and this goes to the scrapping point, that all of a sudden they’re in the situation where if their NAV is now essentially scrap on an old ship, their NAV at the end of the year will be less than scrap, and their NAV at the end of 2018 will be significantly less than scrap. And that would be a clear marker that they should be throwing the hand here in early rather than the late. And on top of that, as we’ve often mentioned, you have potential obligation to make capital expenditures through dry-docking. So I think this goes quite fast and I think the fact we’ve already seen some scrapping is a good sign, but also the way the people are pricing older ships is indicating to us that we’re really getting down to the [indiscernible] strokes.
Operator: The next question comes from Chris Wetherbee with Citi. Please go ahead.
Prashant Rao: Good afternoon gentlemen. This is Prashant on for Chris. Paddy, you’ve given a lot of great commentary on how you’re thinking about the market, and your outlook, and I appreciate that. Just wanted to drill down a little bit more on the shareholder return to dividend versus the buyback. On the buyback part, when you think about the share price and particularly NAV or any other metrics. Could you give us maybe some guidelines around how you think about share valuation and where you think that it’s not being appreciated by the market enough that you stepped in with the buyback? And then also could you reminder us if there is a buyback program in place or how you think about the pace of buyback versus dividend, and what capital is available? And how big that could be if you wanted to pull that lever?
Paddy Rodgers: Well, I mean look, the buyback program has plenty of room in it. But the point that I would like to make is that we’ve been -- we can buyback up to 20%. We have certain restrictions on the way that you can buyback, but this isn’t the target that we’ve set out and there is no program to acquire the stock today. But we watch the stock closely. My complaint about that I suppose and you’ll say that we’ve heard this before it's just that the stock is massively undervalued. And I think that it’s massively undervalued for all tanker companies, but I think in particular for Euronav. And Euronav can be initiated because we are not just a collection of assets without source management on shipping, with a lack of expertise within the core of the business. We have 3,000 seafaring staff, we have 170 people shoreside. They’ve all demonstrated through their experience and scalability to deliver elements of added value fixed business, whether it’s through the FSO, the French flag business, or whether it’s through our ice captains working on the Valero contracts in Quebec. These all areas where we’re being significantly undervalued and it all has always been this way, but if we see exceptional differentials, not only between our valuation view but at a timing when we think it makes sense vis-à-vis our market outlook then we have the capacity to act quickly and decisively, and we will be looking for that all the time. Just one thing that I’d like to say about the expression of lack of value attributed. If Euronav goes back to 2015 earnings capacity, so just -- and that wasn’t a stellar year, that was a good year, with close to EBITDA being one-times market cap. Now for a company which has good fixed income, a strong balance sheets and good available cash liquidity, this is incredible bargain. And particularly when you look at what the exposure to the upside is in terms of the ability to generate cash.
Operator: The next question comes from Magnus Fyhr with Seaport Global. Please go ahead.
Magnus Fyhr: Just on crude exports from the U.S., you guys have been participating some projects down in Corpus Christi and going into port there. Maybe you could share some -- provide some color on what’s going on there and how feasible it is to go into U.S. ports currently, and how much capacity could you go into ports, if it could be about half laid. But maybe you can shed some light on that? Thank you.
Paddy Rodgers: So most of VLCC, I think all the VLCC business at the moment has been done out to the Galveston light [indiscernible] area with reverse-lightering. But we know of two projects, one of course is the one that Occidental, at one of our ships to, if you like, showcase, which is actually to go into Corpus to at least the part loading, you would only need a relatively short piece of channel to be dredged. And that’s ongoing discussion between them and Corps of Engineers or whoever is responsible for that work, so that’s something that could come on relatively quickly, and would speed-up turnaround times. And then of course the other project that’s been much written about, which is the possibility for the loop terminal to reverse at least one of its pipelines and facilities to ensure that VLCCs could load at loop. I think that all of these projects look like they would get developed, because they should make it quicker to turn a VLCC around and potentially a little bit cheaper. There is no question that as I said earlier on the flows demonstratively in there, because the U.S. has exported up to 3 million barrels a day of product. Now that the oil is down on the Atlantic Coast, I’m sure that the Atlantic owners of that oil will like to have a market put in the ability to sell that oil into the international market rather than to be captive to the American refiners. So we would expect it to grow and to be a very strong market.
Operator: [Operator Instructions] The next question comes from Fotis Giannakoulis with Morgan Stanley. Please go ahead.
Fotis Giannakoulis: Paddy, I want to ask you how this that the U.S. exports have changed the trading patterns between VLCCs and Suezmax’s and if we’ve seen any notable pressure on the Suezmax rates and the utilization of these vessels, vis-à-vis VLCC? And any other changes if you can comment in the flow that you have seen since the previous quarter?
Paddy Rodgers: Fotis, I think one of the things that we’ve really noticed and it goes a little bit beyond just the U.S. position is that during the last two to three years, we’ve seen the standard, what we would call, the market expectation of a sand differential between Suezmax and VLCC rates, has actually come apart. The Suezmax is used to be priced offer an almost fixed differential to a VLCC on the basis that both of them were engaged in one trade, which was the West African to U.S. Gulf trade where they were effectively either that have to the -- one V or two Suezmax’s. And so there was a kind of art between the two. I don’t think we’ve really seen that presence. And I don’t see that the VLCCs eating the Suezmax’s lunch, because the critical point about the exports from the U.S. Golf is that to a large degree they’re going to the far east, and the economy of scale on shipping is not only the economy of the bunker consumption, but it’s also the ability to take it and turnaround in the Chinese ports. So I think that this is not a benefit to VLCCs at the expense of Suezmax, I think that it's simply a trade for VLCCs. The Suezmax’s of course have been split up into being a real worldwide trader and then having to leave off specific roots. So it’s a much more dysfunctional world than it was in the correlation between the two asset classes.
Operator: The next question is a follow up from Amit Mehrotra with Deutsche Bank. Please go ahead.
Amit Mehrotra: I just had one piggy back on Ben’s earlier question. You put in the presentation previously a very helpful Slide on net growth in terms of number of ships net of non-deliveries and then scrapping. I didn’t see in this presentation, maybe I missed it, but I don’t think it was there. Obviously, that equation is not that great this year. But if you can just help us fast forward next year, where do you see the relationship between net new deliveries compared to normal or slightly above normal scrapping level. So we can just get a sense of when that tipping point or inflection would occur in the crude tanker market? Thank you.
Paddy Rodgers: Well, I think it’s a – I don’t think it’s quite as mathematical as that. And I think that you give me the scrapping number, I’ll give you -- and the rates at which it happens, and I’ll give you the balance point. What I think is very important is the acceleration or the speed at which newbuildings are delivered compared to the world fleet steady because if you bring on the newbuilding slowly, the world fleet can absorb a lot of the capacity through slowing down and I expect that we will see some of that. So you’re going to have to do supply and demand calculation, and with your demand adding your ton mile, positive or negative, and then looking at your speeds and then looking at your scrapping. And I don’t need to be so tedious as to layout the process like that but I think all of this have to try and do for our own accounts and take the view on it. But you have to give us a scrapping number and the ton mile before we get the balance point.